Alex Bricca: Hello, everyone, and welcome to the second quarter stream of 2024 of Paradox Interactive. I'm the CFO, Alex Bricca. And with me on Link, I have our CEO, Fred Wester. How are you doing, Fred?
Fredrik Wester: I'm doing really well. And I want to start by apologizing for pushing this a couple of hours forward. I'm on a different time zone. So I appreciate very much that I can still take a part of the live stream for the Q2 report.
Alex Bricca: Good to have you with us. So what do you say?
Fredrik Wester: So let's get started. No, let's get started. Nothing to sit around just watching. So that's me. To summarize the quarter, like I always do, I would say that the top line, the cash flow looks very good and we are in a very stable position. The EBIT has taken a hit, obviously, due to the write-down of Life by You. But we still see, I think, on the top line and now you have to correct me if I'm wrong, Alex, I think it's the fourth best quarter ever historically, which is enormously strong, considering we don't have -- didn't have any major core games that we released. But we released expansions and many of them did really well for our core live games and hence, the good cash flow. You can also see that in this quarter, the full effect of everything from Arc is being taken directly as costs. So previously, it had a bigger hit on both the cash flow and the EBIT. Now EBIT is hard to measure, obviously, this quarter because of the write-down. But it has sort of caught up because the revenues are starting to flow in from the Arc titles as well. So they're balancing each other out, the costs and the revenue to some extent. As you know, the big event here is that we decided to cancel Life by You. It was SEK 208 million in write-downs, which weighs heavily, obviously, on the EBIT for this quarter. On the other hand, we're taking big positive steps on several of our core developments like Cities: Skylines 2, that is -- has received a really big update with Economy 2.0 and attach coming just a week after as well, a bit of a surprise to the gamers, but it did a lot for performance and some other issues that we had in the game that we're working on. The first really big expansion for Victoria 3, which was Sphere of Influence, performed really well and the game is doing quite well also with the audience. So I think to summarize on our core titles and what we call the live games, I say we're in a very good position with the games with the core titles. And as a company, we're also in a very good position in the market. Still no debt on the balance sheet, strong cash flow, good position in a market that is -- has been shaking a bit, to be honest, like around us. But it will open up a multitude of opportunities going forward. So we hope to be able to take advantage of a couple of opportunities in the coming year. So we can go to the next slide. As we have described before, we continuously are tweaking how we invest and how we evaluate projects going forward. And one of these things is to lower the upfront risk when it comes to how much money we put into the game before we decide whether we move on with it or not. And the focus now has been on production and quality, mostly with risk assessment as one of the key parts. The most important thing for us now is just to make good games and then we'll see exactly when we release it because the quality is much more important now than it has ever been. Last year, I think it was 14,500 games released and steam, so it's important to stand out and it's important to be the best game that you can make is the one that you should release. So obviously, we have the cash flow to finalize and to make great games, so we should take advantage of that position in the market as well. And the long-term effort that we have is making investment in smaller titles that we build over time and we have Paradox Arc doing that. And we have quite a wide range of different titles coming out from Arc in the coming year or a 1.5 years. And like I've been repeating, I think it's the third quarter in a row that the foundation of Paradox is very, very strong and we can improve from here. Our market position is very good, not only in our corner of the market, but also when it comes to our balance sheet and our cash flow and our cash position in general. After all, we made a dividend of SEK 315 million in the quarter, but we still end the quarter with a positive cash flow and that's very strong by all means. So we're cautiously optimistic about the future of Paradox, if we put it that way. So to the next slide. What did we do in the quarter? So I touched already upon Victoria 3 Sphere of Influence, but we also released Machine Age for Stellaris, Winds Of Change for Europa 4 and Eldritch Realms for Age of Wonders 4. We released a new game called Foundry by Channel 3 Entertainment. It has got some critical acclaim and seems to be received well by the audience of like factory building games. So it's like a mix in between several different things in between different genres, so to speak. We also released 2 smaller things for Across the Obelisk, Nenukil, The Engineer and The Obsidian Uprising. So we've been a busy quarter, but not super business. So we're looking forward to releasing more stuff as the year passes. So on to the next slide then. I'll leave the word to you, Alex, and I might chip in if I have anything useful to say here on the numbers. Fire away.
Alex Bricca: Please do. Thank you, Fred. So let's begin. As Fred mentioned and you are not wrong, you are very right, this is the fourth greatest quarter in terms of revenue, SEK 576 million. We were beaten by last year's Q2, obviously, because what was the difference? Well, we released expansions on almost all titles last Q2, plus Age of Wonders 4. Age of Wonders 4 released the base game plus its first DLC in the same quarter, very strong performance. And we have Cities: Skylines coming out with a DLC hotels and resorts, I think the name was, which we haven't done this year. But apart from that, we have had quite a lot, I think, releases. Stellaris being a big one, and EU4, of course, you mentioned Victoria 3 and Age of Wonders as well contributing. And as always, as we have said so many times before and showed, the revenue is tightly, tightly connected with what we release in the quarter. This quarter, we released a fair amount of expansions and therefore, the revenues are high. What can be added is that when we release new games, if it's a strong franchise, we quite often release a premium edition of the game where you buy the game plus the often next 3 DLCs that are to come up on the game. They have different names, but let's call them premium additions. What happens then is that the player pays upfront the whole amount from the premium addition. But at the release of the base game, we only recognize the revenues for the part that we contribute to the base game. The part of the price that we contribute to the other DLCs we recognize only once we release those DLCs. So we sit with a kind of a debt on the balance sheet. The money we have received, the money is on our bank account, but we don't take it as a revenue with it as debt on the balance sheet. So once we release expansions of DLCs and that is what has happened this quarter, we released the big expansion for Victoria 3 and that meant that we released quite a lot of payments that we received throughout the last 1.5 years, similar with Age of Wonders 4. I think the DLC we now release Age of Wonders 4 is the last one in the very first kind of expansion package. So that has helped, of course, quite a lot. If we look at the top 5 contributors of the quarter, we have Age of Wonders 4 and Victoria 3, which is, of course, great to see, but also Hearts of Iron 4, Stellaris and Crusader Kings III. Worth mentioning perhaps is that -- we don't have neither Cities: Skylines 1 nor Cities: Skylines 2 on this top 5 list, partly because we haven't released content on them since we released Skylines 2 back in Q4. But also since we are counting each game as a separate game, if we would count franchises and add Cities: Skylines 1 and 2 together, that franchise would be well within the top 5 list. And this -- so they are both just outside the top 5 at the moment and they are quite even in terms of sharing the revenue. So that makes it difficult for one to break in the top 5, especially when we don't release content. I didn't mention currency impact. And the reason is that the currencies are fairly much unchanged if we compare to Q2 of last year. I think dollar, pound and euro is up maybe 1% in average. So that hasn't impacted much. Moving forward to operating profit, SEK 29 million compared to SEK 293 million. And of course, it's a write-down of Life by You of SEK 208 million that, of course, impacts the operating profit significantly. Last year, SEK 293 million, very impressive profit driven by the fact that we had higher revenues, SEK 737 million, but also 0 write-downs. Profit after financial items came in at SEK 37 million this year compared to SEK 311 million last year. So profit of the financial items, I'm guessing in most companies is lower than the operating profit because you tend to have some kind of cost for financing the company in terms of outgoing interest. For us, it's the opposite. We have a net cash position. So we are generating money from that instead and therefore, our profit after financial items is coming in greater than operating profit. So that's very good. Profit margin, 6%. Very low. Of course, it's due to the write-down of Life by You compared to 42% last year. If we wouldn't have had the write-down this quarter of Life by You, the profit margin would have been the same as last year, 42%. We're actually 43%. So the underlying core business is doing very, very good. Equity through asset ratio has grown from 74% to 77%. So a very solid company. And the average number of employees has gone down from 674 to 594 as the average throughout the quarter. I don't expect you to remember the Q1 numbers, but they were exactly the same. It was 594, so we have been flat throughout this quarter. So why are we down 80 people compared to last year? Well, we have closed down 3 studios since a year ago. It's Arctic in the north of Sweden, [Talasik] in the South of Sweden and Harebrained Schemes in Seattle. They were all 3 studios in full swing last year's Q2, but now they are closed. As I'm sure you're aware of, with the -- with us not releasing Life by You, we also took the decision to close down the Tectonic Studio in Berkeley. That has not been executed in Q2. So in the 594, we still have our 24 former colleagues of Tectonic. When we end Q3, we will be some 23, 24 people less from that part. Let's move on, I think. And -- yes. So we actually decreased more if we just look at those 3 studios, but then we have hired staff in the studio here in Stockholm, but also in the studio in Tampere, Iceflake. All right. So let's look a bit more into the details of the numbers. Revenue in the green line we have already discussed. What is worth mentioning here is you see a very clear trend. If you look over the last 2 years or 8 quarters, we seem to have entered into a situation where we have a lot of releases every second quarter and much less releases every second quarter. It would have been nice perhaps to have it more smoothen out, but we release things when we think they are ready to be released. That's how we want to do it. And that has the impact of like this. Some quarters, we release a lot. Some quarters, we release almost nothing.
Fredrik Wester: Yes. But the most important thing here is obviously the trend curve where you see that we're trending upwards. Maybe we should be trending at a higher pace. You always want to do that, but at least it's in the right direction.
Alex Bricca: I agree. I agree. Cost of goods sold, the yellow line, our biggest cost item. So this is all the costs we have to make the game. So costs for internal studios, cost for external studios, royalties to external studios. We have -- we amortized when we have acquired assets that we use to make our games like studios or IPs. We amortize that and we take that has cost under COGS. And what else? Yes, then we have technical costs in our publishing business to make nongame-specific development as well. So this is, by far, our largest item. So Q2 this year, SEK 456 million compared to SEK 338 million last year. So it's up, of course, you already understand that it's a lot driven by the write-down. But let's go through item by item. You can find items in the quarterly report. Amortizations came in at SEK 96 million Q2 this year compared to SEK 155 million same period last year. So it's down. Amortizations in Q1 this year was SEK 120 million. So it's down also from that. And what drives amortization, it's what has been released lately pretty much. And comparing it to Q2 of last year, then we had especially the release of Age of Wonders 4 that generated quite a lot of amortizations, but also the expansion on Crusader Kings III, which we don't have this year. So therefore, amortizations are lower. I mentioned that we take -- when we acquired assets that we use in our game production, we choose to amortize the vast, vast majority of those acquisitions. So we take them as costs little by little. In Q2, we took SEK 14 million, Q2 of this year. Q2 of last year, it was SEK 21 million, so it's down with 1/3 almost. And that's because the acquisitions of Prison Architect and Harebrained Schemes have come to an end. It has passed 5 years, which is our amortization period for most of these assets. So they are fully amortized. What is left this World of Darkness. I think we have something left on Triumph, Playrion and Across the Obelisk. And I think this is a very prudent way to handle this acquisition to amortize them over time. Write-downs, I mentioned, or we both mentioned, so SEK 208 million Q2 this year and 0 Q2 last year, so that makes the whole difference. Then we have royalties, SEK 19 million this year, Q2, which is low. It tends to be around SEK 30 million. And what normally drives royalties is sales on Cities, sales of Age of Wonders 4 and our Arc titles. The reason why it's extra low this quarter is, of course, the sales on Cities has been lower and the sales on Age of Wonders 4 has been lower compared to the quarter before. But we also went through Q4 and Q1 with slightly too high reservations for royalties for Cities: Skylines 2 that we concluded now in Q2 that we don't need. So we have released those kind of cost reservations and that has held back the royalties a bit as a onetime off in the second quarter. So therefore, they are only at SEK 20 million, which is lower than normal. Also worth mentioning, I've gotten some calls during the day from our most seasoned analysts that are surprised that amortizations is as low as they are. And one of the reasons is that for the game Foundry and this happens sometimes, instead of considering the payments we make to the development studios as development cost, we considered it as a minimum guarantee of the royalties. So it's a prepayment of the royalty. So therefore, now when we release the game, instead of that and ending up as an amortization, it ends up as a royalty. So therefore, amortizations came in lower than some expected. What else in COGS? Yes, we have the final item that is noncapitalized development costs and costs for the tech part of the publishing. So that's SEK 110 million in Q2 compared to SEK 103 million of Q2 last year. So that's up. And the main reason why it's up is because when we decided to stop the Life by You project, which was in June, we stopped capitalizing. So the cost we had for the studio and the project in June, we took as a direct cost and we also booked a reserve on this item for the termination cost for the studio. We will have termination costs for severance packages and stuff like that. But we have already reserved a decent amount of that in Q2. So therefore, this COGS has gone up a bit. I think we can move on to selling expenses, SEK 66 million compared to SEK 90 million. This is very much driven by what we release. It's a fairly strong release quarter. Last year's Q2 was, of course, higher with Age of Wonders 4 especially. So it's what we release in the quarters, but also what we plan to release. And this Q2, we actually had some marketing costs for Life by You, unfortunately, that won't be useful. Administrative expenses tends to be very flat over time. You can see the red line. It moves a bit up and down, but not that much. So SEK 26 million this year compared to SEK 26 million last year. Then below that, we have other income and expenses. So that is movement in the quarter from currencies. Last year, we had -- the dollar went up in Q2 of last year. So therefore, we had a positive impact. This year, the dollar has ended quarter pretty much where it started the quarter, so we don't see much movement. Financial income and expenses is the interest that we have on our bank account mainly. Now Fred, you mentioned that if you look at the green line, you can see a trend going upwards and that's very right. Here, we see it clearer. Here we have grouped the 4 quarters together. So at any given time point, you have 12 months of revenues and operating profit. And here, it's very clear that the revenues are trending upwards. So of course, we can't do it every quarter, but over time, it's a clear trend upwards.
Fredrik Wester: Yes. And when we start not having these big write-downs, the yellow line will follow as well, hopefully, so.
Alex Bricca: Yes, we had a massive write-down in Q4 '23 and one in Q2 '24. So if we look at the rolling 12 months of the operating profit in Q2 2024, then we have included more than SEK 500 million of amortizations and write-downs for Lamplighters and Life by You. So of course, the operating profit rolling 12 months is weighed down by more than SEK 500 million from those 2 projects.
Fredrik Wester: Great.
Alex Bricca: So what else can we look at? Cash, of course, very important. So very strong cash flow this quarter. A few special items, I think, in here. So we have cash flow from operating activities is almost as strong as this was Q2 of last year, even though we had almost SEK 300 million more of, almost SEK 300 million more of operating profit last year than this year or at least SEK 250 million. But pretty much the same cash flow. And the reason, of course, is that what pushes down the operating profit this year is the write-downs, but that doesn't impact cash flow. It doesn't impact cash flow this quarter. It has impacted the previous quarters, of course. We also have a onetime off effect. We have over the last year built up a little too large cash position at our tax accounts and that we have moved back in this quarter, moved it back to our bank account because it gets more interest there. But very, very strong cash flow. Looking at the cash flow from the investing activities, it looks very low and it is very low, but it's for a reason. It's SEK 81 million compared to, I think, SEK 170 million of last year. So it's low because 1 year ago, we invested our surplus cash into bonds and 2 of those bonds representing SEK 70 million came to an end in Q2 this year. So we got the money back and instead of pushing it into new bonds, we found a bank account with a Swedish bank that yields even higher interest with the same low risk level. So therefore, we choose to have the money there and that has improved the cash position with SEK 70 million. If we look at just what we invested in game development, it's SEK 151 million this quarter, so still quite high. It's lower than what we had some 12 months ago. And the reason is we have canceled, we canceled Lamplighters League half year.
Fredrik Wester: And we wrote it down -- we did a write-down of Lamplighters. We did release the game, but we didn't. We took all of the costs in the same quarter to be more realistic about the future chances of the game.
Alex Bricca: Yes. And if we look at the cash flow from investing activities up until, let's say, especially Q2 of 2023, but also throughout the whole 2023, we had investments into Lamplighters, a decent amount. We were 60 people making that game in the U.S. West Coast, which is not the least expensive part of the world. So it's a massive cash flow that we have 0 this year. And it will be the same for Tectonic and Life by You. Throughout the last 12 months, we have had a massive investment year after year into that studio and that project, which we won't have after this quarter. So that will take down the investments into game development.
Fredrik Wester: Right.
Alex Bricca: I think I have one more slide. Yes, it's the balance position. So you can see the total equity in green goes up with -- it pretty much represents the accumulated profit after tax, minus what we have paid in dividend. And you can see in Q2, we paid some SEK 315 million, I think you said it, Fred, in dividends and we didn't have much of a profit after tax due to the write-down. So therefore, the equity has decreased in Q2. The total noncurrent assets are -- is mainly capitalized development and that has come down. You can see 2 big bumps, one in Q4 2023 when we amortized and wrote down Lamplighters. And now again in Q2 when we wrote down Life by You. So that has come down from above SEK 2 billion to I think we're at SEK 1.6 billion at this moment. Those were the slides that we plan to show you. The line is open for questions. And I know that we have already received a few before the stream. So I don't know, Fred, I think it's easier perhaps if I read the questions and then we can perhaps answer every second one.
A - Fredrik Wester: Yes. Sure...
Alex Bricca: So let's start with the question for you then. Aside from Prison Architect 2 and Bloodlines 2, are there any other remaining projects in the pipeline that were given the green light prior to you, Fred, coming back as CEO? Or is the current pipeline from now onwards truly product of current management?
Fredrik Wester: Yes. Except the 2 mentioned titles, we don't have any projects that are outside of our core in the main pipeline as for now. And we don't plan to greenlight anything outside of Paradox Arc that isn't exactly in our core either. However, a few core projects were greenlighted before I came back as well and they're still in development. But these titles are within the segments where we feel very comfortable. And these gains would have been greenlighted regardless of who the whole project schedule or the project management that we were using. So I guess that's the answer to the question.
Alex Bricca: Thanks. All right. I can take the next one then. Excluding the recent poor releases/write-downs, can you talk a bit about how the core portfolio of the big 5 franchises and other smaller titles are faring? Are you happy with the results there? Are you seeing things you want to improve?
Fredrik Wester: Well, can we talk about the big -- maybe big 7? I don't know if Age of Wonders is disregarded for example, but sure. No, go ahead. We can call it big 5 as well, but I think we have more than 5 good franchises.
Alex Bricca: I think what we sometimes refer to with -- I don't know if you used the title big 5, but we have seen a different -- we have had 5 franchises for many, many, many years that have continued to generate high revenues and high profits year after year after year. I think Age of Wonders 4 is a very successful game. But of course, we have a question mark whether it will have the same longevity as our grand strategy game has. But for sure, it's a big and important game for us. But I think we are very happy with the results of these big 6 games in general and in the quarter. They have contributed quite a lot to a very, very strong top line. We have released strong releases on strong content on several of them and good cash flow and very, very strong margins as pretty much always with these titles. So we are very happy with them. But that doesn't mean that we want more. We think that at least several of these titles can do even better. And we have the benefit of having 6 titles that have their similarities, but also the difference -- there are differences in between them. So it means that we can look at some of them and try to copy and paste the successes in some of them to the others and that is what we, of course, are trying to do. But this is an ongoing work. And I've been with the company for 6, 6.5 years and we have never kind of been satisfied during my period here and I guess we will never be satisfied completely with it going forward either. I think there's always something to be done.
Fredrik Wester: No. I mean, to be honest, I mean, in our management meetings, this is the question that comes up all the time, how to be better at things like this. So it's a constant process. So I think a lot of people are focusing on new games and the new pipeline and everything that is new, which is important as well. But we're in the like, if you want to call it, evergreen games industry, which means that our games get better over time and more worthy of play. So a game can last for 10, 15, 20 years and still be better and better every year. So, yes.
Alex Bricca: Thanks, Fred. New question to you. All right. What actions are being taken to ensure that new game projects have a high chance of meeting expected quality standards and being completed successfully?
Fredrik Wester: Well, recently, we've spent most of our focus ensuring that projects have the right quality and risk balance. That's the first thing. Second is that if we -- or any company that works with trying to take a lot of risk on new projects will fail more. The way -- however, the way we have communicated has not been satisfactory. So we have announced games and then canceled them, which is not an optimal way to go. But we have work to do within production risk assessment and continued efforts on quality, especially with things that lay a bit outside of our core, where we don't feel as comfortable all the time. But it's everything, small and large measures. It's from how we handle projects to how we give feedback to developers and who is responsible for what and who has ownership for what in the project. So it's a constant, like, thing that we're developing to be better at every day. And it's very hard to go into details on this, but it's something that we're continuously looking at. And I personally am looking a lot at this. I wouldn't say every day, but at least every week.
Alex Bricca: Thank you. Are there plans for Paradox to pivot to a subscription model instead of the current DLC model? Has a subscription-wide -- has a Paradox-wide subscription rather than game-specific ones been considered? I can answer this one. You can chip in if you don't agree, Fred. But I mean, we want to use the business models and be on the platforms that our fans like to consume our games in. I think that's the main focus. And currently, the model that we have with the base game and pay the deals -- pay them 3 DLCs is a model that it seems that our fans like and we like. So I'm pretty sure that this will remain our main business model for the foreseeable future. But we have -- we have since 2019, I think, maybe before that, Fred, I don't know. But 2019, I think, Microsoft launched the game pass service on PC. And since then, we have happily been on their platform with several of our games to test that out. We have also had, as a question refers to our own subscription models, where we have -- you can subscribe for all the DLCs for -- I think we have it on HOI, CK 2, EU 4 and Stellaris now. And that's -- we have considered different kinds of subscriptions. But I think those are where we would bundle in more game titles into one. But for now the current setup is the one that we're going with. I don't know if you want to add something there, Fred.
Fredrik Wester: No. I mean, we added this as more of a fan service, so you don't have to buy all the DLCs at once, so -- and we're still like experimenting with how we're going to take it forward. It's not going to be our key way of operating in any foreseeable future, like you mentioned, but it's a good way to combine with the DLC model that we currently are using.
Alex Bricca: All right. Do we have more questions? Yes. Is Paradox considering developing more original IPs in the business management genre rather than focusing on acquiring existing games? Or is this not the current priority for the company?
Fredrik Wester: I'm not sure if it's games in the business management genre per se, there was a game called Capitalist once upon a while developed by a Hong Kong studio that I enjoyed very much. That's not an immediate priority. But they're all being original IP internally, if that's the question, yes, we're looking at that. And we're looking at it from different angles like we want to -- do we want to do something historical? Do we want to do something more Stellaris-like where the IP kind of grows organically from within? But also, we're also looking at acquiring existing games, existing IP, existing studios to complement our current business. And like I said before, the market right now is very interesting for these types of deals because there are a lot of distressed assets out there and there are a lot of -- it has been a small crisis in the industry with funding and with selling games and with actually living up to expectations for a lot of games. So I think the opportunities for us are going to present themselves. We see new things being presented to us every week. However, we are very specific with what type of games or IPs that we're looking for. So I wouldn't promise anything to be acquired in the coming year, but we continuously look at opportunities that are being presented. So we'll see. I mean, it's not -- it's not -- our core strategy is growing what we already have. Everything else is kind of gravy, but there will happen some things with new IP and hopefully something external as well. We'll see.
Alex Bricca: Thanks. All right. Here's a long one. You're referencing good development in the core revenues in Q2. If you look at your core revenues, how much are they representing of the total revenues last 12 months? And what was -- or I'll stop there and I will try to answer that and continue later on with the rest of the question. We don't share that granularity of our revenues externally. But of course, it's a vast, vast majority that comes from our core. It's fairly easy to go through over the last 12 months, what have we released that is not core. And it's nothing that has really got a big impact. I think the largest impact was even though it was not a successful project, was Lamplighters League. There we got at least, I think you can calculate it backwards, but some SEK 70-maybe million in revenues, even though the costs were much more. But back to the question, it's -- the vast, vast majority comes from our core. I think the question changed a bit. You're referencing good -- directionally, how do you look at those revenues, organic growth ambitions for the coming 3, 4 years? Same, we kind of never give forward-looking statements, neither for specific games, nor for the portfolio as its whole. But we have seen these core games grow very, very strongly over the last 5, 6, 7, 8 years. And we expect them to be the base for our growth going forward as well. So I can't share any percentage number with you, but we have big expectations on these franchises for many, many years going forward. All right, Fred. If you look at the pipeline, there are fewer games there now than 2 years, say, 6 to 7. How do you look at the health of that pipeline in terms of sequels, strategy games versus other games and riskiness?
Fredrik Wester: Yes. First and foremost, we are not that dependent upon new releases, as you already know. However, it gives a boost, initial boost at least to revenues. So it's always good to upgrade games, make sequels and release new games as well. The thing is what we call the pipeline as well is games that are capitalized on the balance sheet. So the pipeline is actually 2 things. It's the, I don't know if we said 8 games in the report, but there's a lot more going on at Paradox Arc as well, where we have a game like Mechabellum releases, I think the 1.0 version in September, for example, which is not calculated in our balance sheet and therefore, not part of what we call the pipeline either. And we believe it's a healthy way to do it. And looking at unannounced titles, it's a mix of strategy and management games that are close to our core and also a mix of sequels and new IPs. I think the balance in between different types of games, different types of genres where experimenting a bit where the some new creative things in our games. So it's going to be super interesting to see how people receive it.
Alex Bricca: And I can add in terms of riskiness, of course, the risk in the pipeline has gone down since you came back 3 years ago, Fred. I don't think we have started --
Fredrik Wester: Yes.
Alex Bricca: -- with one singular project where we have high risk and high cost that has gone into this pipeline. Everything that we start with high risk is at much lesser costs and outside of this kind of main pipeline or what we should call it. So I think the risk mix is at a much lower level.
Fredrik Wester: Yes, yes, agreed, agreed. I mean, we're much more focused on the games that we make today and the games that we feel are outside of our core are smaller and less risky when it comes from a financial standpoint. And when it comes to -- when it comes to Paradox Arc, we are not announcing anything there that we don't -- that we're not sure that we're going to release. And we have quite a few games and we closed games there as well that we feel that this is not going to be -- this is never going to be finished or it's not going to reach the level of quality that we're looking for. We're closing the games. And these are games that we never announced and they didn't cost too much either and they're taken directly as costs. So no one is going to be bothered by them. But therefore, it's also harder to say what the like pipeline, if you want to say that, looks like because the experimental way of working gives room for a larger pipeline, but also we close a lot of more games. It's hard to say at any given point.
Alex Bricca: Yes, it's a good point for that. I don't know if I forgot to mention that. But when we went through the COGS item, as a last sub-item I mentioned cost that we take -- kind of development costs that we take directly as costs. I mentioned it was up compared to last year's Q2 due to Life by You and the termination costs of Tectonic. But another reason is what Fred is pointing out, the part of our business that consists of game development projects that we don't capitalize has increased. So -- and I think this is a very healthy way to handle it. All right. It's the last question perhaps. In terms of pricing levels, where do you think you are now compared to your competitors? Also, should you view your pricing strategy for CK III as a benchmark for coming sequels and core games? I can try to answer it, Fred, but you can chip in. We have play -- we have made a significant effort, I think, on pricing strategy over the last 18 to 24 months, where we are spending much more time on the issue or the opportunity. We come from a period, I think, where we have been not having the right price, some quite often too low price compared to competitors. Now we have done a significant uplift, I think, both in terms of kind of base price in dollars, but also in terms of regional discounting. But this is -- in order to have the right price, this is an ongoing challenge or work to be done. But I think we are at a pretty good position today, but there's probably room for some revenue increases from price increases still. What do you think, Fred?
Fredrik Wester: Yes. Yes. Also, when it comes to pricing, there are two things you need to take into account. One of them is market fairness that we feel that people should feel that it's fair, the pricing in between different markets. So we've had some markets that's been lagging behind on pricing. The other one is value to the gamers. I mean, we can't overprice our products. I mean, even if some of the Crusader Kings III content has been higher in pricing, it's not like we can just raise the price on everything that we do because we also feel that we need to deliver the value that people are expecting because if we don't, over time, we won't sell anything. So yes, that's pretty much what I wanted to add on pricing.
Alex Bricca: Any more questions? No? That was the last one. So I guess the stream is coming to its end. Thanks, everyone, for watching. And if you didn't get your question answered on the stream, we will answer them afterwards via e-mail. If you come up with questions that you haven't had, please feel free to send them in afterwards. And see you in, I think it's the very last of October when we have the Q3 stream. So see you then.
Fredrik Wester: Definitely. Yes. See you then. Thank you very much for watching. Bye-bye.